Operator: You are in the right place for the KULR Technology Group's third quarter 2025 earnings call set for today, Tuesday, November 18. The call will begin at 4:30 PM Eastern. Please hold on the line. Thank you everyone for joining us here today for the KULR Technology Group's third quarter 2025 earnings call. I will be your host and moderator, Stuart Smith. In just a moment, I will be joined by the Chief Executive Officer of the company, Michael Mo, as well as the Chief Financial Officer for the company, Shawn Canter. After we are given their opening statements, we will have a question and answer section on the call today. But before we get started, please listen to the following safe harbor statement which will cover the statements made on the call today. This call may contain certain forward-looking statements based on the company's current expectations, forecasts, and assumptions that involve risks and uncertainties. Forward-looking statements made on this call are based on information available to the company as of the date hereof. KULR Technology Group's actual results may differ materially from those stated or implied in such forward-looking statements due to risks and uncertainties associated with their business, which include risk factors disclosed in their Form 10-K filed with the Securities and Exchange Commission on 03/31/2025, as may be amended or supplemented by other reports KULR files with the Securities Exchange Commission from time to time. Forward-looking statements include statements regarding the company's expectations, beliefs, intentions, or strategies regarding the future and can be identified by forward-looking words such as anticipate, believe, could, estimate, expect, intend, may, should, and would, or similar words. All forecasts provided by management on this call are based on information available at this time, and management expects that internal projections and expectations may change over time. In addition, the forecasts are based entirely on management's best estimate of their future financial performance given their current contracts, current backlog of opportunities, and conversations with new and existing customers about their products and services. KULR Technology Group assumes no obligation to update the information included in this call whether as a result of new information, future events, or otherwise. Now with that, let me welcome onto the call Chief Executive Officer of KULR Technology Group, Michael Mo. Michael? The call is yours.
Michael Mo: Thank you everyone for joining us today. I'm proud to share that KULR delivered our strongest quarter to date. In Q3 2025, we generated approximately $6.9 million in revenue, growing 116% year over year and 75% sequentially from last quarter. Our product revenue more than doubled, showing that our transition from services to a product-driven company is firmly underway. We also strengthened our financial foundation. We have approximately $140 million in cash and digital assets and no debt, following the full repayment of the $8 million Coinbase loan. This strong financial foundation allows us to invest in research and development, growing product production capabilities, expand facilities, and accelerate growth across the KULR One platform. We believe we are at the beginning of a super growth cycle in our energy storage and management business, and this optimism is backed by real results. This summer, we launched KULR One Air, built on the same technology foundations as our KULR One Space and Guardian platforms. This July, we created more than 150 KULR One Air battery SKUs, giving us one of the largest made-in-USA battery portfolios in the market. The demand is growing strong. We have over a dozen late-stage opportunities or signed contracts across unmanned autonomous vessels, drones, direct energy systems, and underwater vehicles, and we're seeing an acceleration in customer engagements. At the same time, we're expanding the KULR One platform into AI data centers and telecom infrastructure with new battery backup units (BBUs) and battery energy storage systems (BESS) products, both of which fit in some of the fastest-growing energy markets in the world. With these growth engines coming online, we expect our energy storage and management business to grow tenfold over the next three years. What sets KULR apart is simple. We deliver faster, deliver with higher quality, and we deliver better performance all at a competitive price point. Customers feel that difference immediately. A big part of the advantage comes from our team and our facility in Texas. We design, prototype, build, and test our batteries in-house, all under one roof, which allows us to move with speed and precision. And to meet the rising demand, we're preparing for our next phase of expansion. In 2026, we plan to grow our Texas headquarters to over 100,000 square feet and scale production from a few thousand packs per month right now to more than 50,000 packs per month, supported by new automated battery production lines. This is an exciting moment for KULR. We have the technology, the team, the balance sheet, and the momentum to be America's trusted energy source for these growing applications. I'm very excited that we are entering a super growth cycle as demand surges for advanced energy storage and management products across our core markets. UAVs, drones, and autonomous robots are scaling rapidly, and the KULR One Air and Guardian platforms meet this demand with safe, high-performance, production-ready propulsion batteries at competitive commercial prices. Space exploration is accelerating in both private and public sectors, and KULR One Space positions us as a trusted partner for mission-critical energy systems built to operate in extreme environments. AI data centers need dramatically more energy, and they need it fast. Our KULR One Max platform aligns directly with the industry's shift towards high-density, high-power, and high-reliability backup battery systems. Telecom networks and critical infrastructures are investing heavily in resilience, driving greater demand for certified high-reliability energy storage solutions. And the US is moving decisively towards a domestic, secure battery supply chain, and our Texas-based design and production operation give us a strong strategic advantage. Let me summarize why KULR is winning. Why we're winning right now. First, speed. Our entire value proposition is built on getting high-performance energy systems to customers faster than anyone else. Because we design, engineer, test, certify, and prepare for production under one roof, we can move from concept to manufacturable products in a fraction of traditional industry timelines. That speed has become a decisive advantage as customers demand semi-custom and high-performance solutions delivered quickly and reliably. Second, quality. KULR's heritage in thermal management and battery safety is a core differentiator. We're 40 AS 9100 and ISO 2001 certified. Customers increasingly view quality and safety not as checkboxes but as strategic factors in selecting long-term partners. Third, performance. We use next-generation battery cells, advanced categorization, and validation processes to ensure every KULR One system delivers consistent high-confidence performance, even in the harshest mission profiles. Our focus on thermal stability and optimization is separating us from legacy pack manufacturers. Fourth, safety. Our engineering platform is built on NASA's space-grade safety architecture, applied across the full KULR One ecosystem. As energy levels rise across all applications, safety is becoming one of the most important buying criteria, and this is an area where KULR has a structural advantage. Fifth, secure supply chain. Every KULR One battery we ship is designed, built, and tested in Texas. Customers want a domestic, transparent, and highly controlled supply chain. KULR provides that, supported by strategically secured components and partnerships worldwide. And finally, customer experience and value. We believe that we have the best team in the industry. Because everything is done under one roof, we deliver fast turnaround, better quality, higher performance, and more competitive pricing than our competition. That combination is building customers' trust, winning their business, and is a major reason why KULR is capturing momentum across the markets we serve. Let me highlight one of the most exciting developments at KULR. The launch of KULR One Air. We introduced this platform in July and immediately positioned us in one of the fastest-growing segments of the electrification economy: the UAV, drone, electric aviation, and autonomous robotics. KULR One Air is a purpose-built, high-performance propulsion battery architecture designed specifically for those next-generation systems. The momentum has been extraordinary. In just a few months, the platform has expanded to over 150 commercial-ready SKUs across multiple cell manufacturers and form factors. That makes KULR One Air one of the largest made-in-USA battery portfolios in the market. And we're entering the market at exactly the right time. The UAV and drone battery market is expected to grow from roughly $1.5 billion in 2025 to more than $2.4 billion by 2030, driven by rapid adoption in commercial operations, public sector modernization, and the rise of autonomous robotic platforms across industries. KULR One Air is built on space-grade engineering heritage, delivering safer busbar and connector architectures, lower thermal rise, and high power performance that the series demands that legacy packs simply cannot handle. This performance profile is resonating strongly with customers who operate in demanding mission environments. Demand is accelerating on every front. Today, we have actively engaged with a broad range of commercial and government customers using drones for inspection, logistics, imaging, environmental monitoring, public safety, and advanced robotics. In every case, operators need high-power batteries that deliver safety, power, and reliability at scale. On the production side, we're scaling aggressively. We're currently producing a few thousand packs per month, and with our Texas expansion, we're targeting 50,000 packs per month by mid-2026. And if demand signals accelerate, which we anticipate, we're ready to scale to 100,000 packs per month and beyond. We have the capital, the talent, the supply chain partnerships, and the facility space to execute. KULR One Air isn't just a product line. It's a platform that leverages our decades-long engineering heritage and opens up a multibillion-dollar market for us. AI is creating one of the largest energy transformations we've ever seen, and KULR is stepping directly into the center of this. We're expanding our KULR One Max platform into two massive markets: data center battery backup units (BBUs) and telecom infrastructure energy storage systems. Across NVIDIA GPU generations, power consumption per server is increasing by about 100x. Rack power is climbing from today's 30 to 80 kilowatts to more than 250 kilowatts in some deployments, and NVIDIA's roadmap is pushing towards one megawatt racks by 2028. At these levels, rack-level battery backup units (BBUs) become essential. NVIDIA's latest GB 300 NBL 72 architecture now bakes BBUs directly into the reference design to manage power spikes, ride through micro outages, and reduce reliance on massive UPS systems. As data centers transition to 800-volt high-voltage DC systems, the whole industry is moving this way, including Meta's open compute project. But with high power comes higher risk, and battery safety is now mission-critical. Operators must meet stringent standards like the UR 9540A as they push for greater energy and higher discharge rates. This is where KULR has a unique advantage. Our space-grade safety architecture makes the KULR One Max platform ideally suited for these AI rack applications. We're designing 21700 bays and 5 amp-hour class BBU systems specifically for next-generation NVIDIA systems, while much of the market is still relying on older 18650 cells under 3 amp-hours. We expect our BBU system to be UR 9540 certified and production-ready in 2026, positioning KULR to compete in this multibillion-dollar fast-growing market. AI is rewriting the energy transition, and KULR intends to be at the forefront of that transition. AI isn't just changing data centers. It's transforming the entire power and thermal landscape. Power and thermal have moved from backroom issues to network-wide operating constraints. We're seeing pressure everywhere: on towers, radio, fiber hubs, central offices, and, of course, inside high-density AI data centers. So it's across the entire telecom infrastructure. Recent incidents are reminding everyone why safety matters. One of the clearest examples came from South Korea, where a battery-origin fire disrupted hundreds of government systems and took nearly a full day to extinguish. Events like this are forcing operators to reevaluate their backup power and thermal protection. KULR's role is to help operators safely increase runtime and energy density as they push infrastructure to its new limits. Near term, we're partnering with established backup power providers to deliver safer and higher energy lithium-ion battery packs and thermal runaway mitigation to existing UPS platforms, especially in space-constrained towers, fiber hubs, and central offices. Looking ahead, we'll need to align with platform players and co-development partners to leverage our safety hardware to integrate with recurring business software-as-a-service business models. More to come in the near future. Let me take a moment to update you on our Bitcoin treasury strategy because it continues to be an important part of how we build long-term shareholder value. As a Bitcoin-plus treasury company, we stay close to the digital asset treasury market, and we remain disciplined. We have not taken on any convertible debt to acquire Bitcoin. Instead, our approach is intentional. We're making incremental and economically sound BTC acquisitions through our mining operations while directing our primary capital towards high-value and high-growth energy businesses. Our mining strategy itself creates additional strategic upside. We focus on projects with renewable, low-cost power, and that puts us in direct partnership with mining hosts who are increasingly expanding to high-power computing and AI infrastructure. These relationships give us a front-row seat in new opportunities where KULR can deliver battery energy solutions, BBUs, and UPS systems to support AI workloads and grid resilience. Through Q3, our mining operations produced Bitcoin at an all-in cost of approximately $102,000 per coin. We continue to evaluate projects where we can lower our average cost of acquisition even further. In short, our Bitcoin treasury and mining strategy is disciplined, aligned with shareholder value, and increasingly synergistic with our move into the AI data center energy markets. Let me give you an update on KULR Vibe, which is becoming another exciting part of our portfolio. This year, we'll be working closely with helicopter OEMs and operators across both civilian and government sectors in the US. Vibration mitigation remains one of the most challenging maintenance issues in aviation. It is often described as more of an art than a science. KULR Vibe is changing that. Our system enables maintenance teams to track and balance aircraft quickly, accurately, and without needing decades of experience. The software learns over time, becoming more precise with each balance on each specific aircraft through its built-in learning algorithm. Now that the government shutdown has ended, we expect our US Army program to resume and advance to the next level. On the commercial side, demand is growing rapidly. To support the civilian helicopter market, we're preparing to launch the KULR Vibe app on iOS in 2026 in partnership with a global aviation leader, making this technology more accessible than ever. Let me give you a quick update on Exia. In just a few months of marketing Exia in North America, we've already deployed more than 30 units across multiple verticals. In retail, Exia is supporting workers in distribution centers of a major North American retailer. In logistics, it's operating inside a national 3PL specializing in oversized and bulky items. For industrial distributors, Exia is deployed across three warehouse locations serving the restaurant sector, and in healthcare, we've been running a successful pilot in a nursing home in Montreal, with highly positive feedback from caretakers. We're preparing to launch a second pilot with a major hospital in the Northeast. The momentum is strong because Exia's seventh-generation architecture delivers the right balance of cost reduction, performance, and safety—a combination that's resonating with industrial customers who need productivity gains without compromising worker well-being. As industries look to empower workers, reduce injuries, and bridge labor gaps, Exia allows us to play a strategic role in the future of the modern, augmented workforce. Next, Shawn Canter will provide financial updates. Shawn?
Shawn Canter: Thanks, Mike. Overall, the third quarter was another strong quarter for KULR. Our operating activity continues to position KULR for continued growth and future success. With that in mind, I'll touch on some highlights. Revenue grew 116% from the same quarter last year to approximately $6.9 million. Q3 was the highest revenue quarter KULR has ever posted. This grows the streak to the fifth straight quarter KULR has grown revenue over the comparable prior year period. The third quarter also sets another growth record, this one a new trailing twelve months revenue record at $16.7 million. The third quarter grew this streak to the fifth consecutive quarter KULR has set a trailing twelve-month record. For the third quarter 2025 versus the third quarter 2024, product revenue grew 112%, but services revenue was down 74%. Let me make a brief comment on our services revenue. Our services work plays an important role in complementing our products business. But over time, you'll continue to see us focus our resources on products. This reflects our belief that our products business can go after a much larger global market, benefit from economies of scale, leverage our already strong and growing brand awareness, and offers KULR a long sustainable growth trajectory in which to invest. Now let's touch on our operating expenses. In addition to what is in the 10-Q, I'd like to share the trend from the first, second, and now third quarter this year. Both R&D and SG&A have gone down each quarter since the beginning of the year. R&D is down 5.2%, and SG&A is down 13%. Our operating costs reflect the everyday costs to run the business as a public company, find and retain high-quality talented teammates, and make the necessary investments to drive growth in the short and long term. In fact, many of the investments that we've made are bearing fruit and serve as a foundation for the vision that Mike just outlined. We are seeing increases in the number, quality, and size of customer engagements. I'll point out that the payoffs for some of the investments will take longer to realize. It's to be expected that every investment doesn't always play out over a straight line. But we remain confident of their future payoff. One last point on operating expenses. We won't be able to reduce costs every quarter. Our goal is to get to positive operating earnings through strong revenue growth with appropriate investments to maintain the durability of that growth. Now a few points on our balance sheet. At the end of the third quarter, our cash balance was just over $20 million. Our current accounts receivable was approximately $3 million. We held Bitcoin worth approximately $120 million, and our total assets were approximately $156 million. Before I hand things back to Stuart, I'll just add a point to another topic Mike spoke about. We continue to be enthusiastic about the exoskeleton market and technology. Based on our early commercial customer experiences and what we can see in the marketplace, the appetite for exoskeletons appears to be strong. Nike's recent announcement of their own exoskeleton is an example. Notwithstanding that outlook, I do want to state that based on information from German Bionic, we made the appropriate decision to take one-time impairments. We do not anticipate this will materially affect our US commercial sales activity going forward. Overall, we are enthusiastic about another strong positive growth momentum quarter for KULR. Back to you, Stuart.
Stuart Smith: Alright. Thank you very much, Shawn. So that again brings us to the question and answer portion of our call today. And, Michael, the first question is for you. And here it is. What are KULR's strategic priorities today as a Bitcoin treasury company with operations?
Michael Mo: Yeah. Thank you, Stuart. And this is a question that we are often asked, and I'm glad to answer it. Our priorities are focused and deliberate. Bitcoin treasury is an important role for our treasury strategy. But, operationally, we're very focused and anchored in our core energy management and storage business as well as our vibration reduction technologies. So, because we're seeing both areas present strong revenue growth for 2026. And that's where we're gonna focus all of our attention and our commercial efforts on.
Stuart Smith: Very good. Well, Shawn, the next question is for you. What is the long-term strategy for the Bitcoin treasury and mining operations?
Shawn Canter: Thanks, Stuart. That's a good follow-up after the prior question about our future. We believe Bitcoin's supply and demand structure supports a favorable long-term pricing outlook. After initially purchasing Bitcoin on the spot market, we shifted in mid-July to growing our position through mining. In addition to accumulating more Bitcoin, mining brings us closer to the data center ecosystem as we explore new opportunities in energy storage solutions. While we're on the topic of Bitcoin, perhaps it makes sense to have a word about Bitcoin's price volatility and even the equity market volatility, which we've all recently seen. We like to maintain a strong cash position and no debt as a buffer to Bitcoin's price and stock market volatility. We don't have any interest payments or debt maturities to worry about. We're focused on growing revenue. We worked very hard to position ourselves to be able to take advantage of volatility rather than to be a victim of it.
Stuart Smith: Okay. Thank you for that, Shawn. Michael, next question for you. Given the previous reverse split and the ongoing share price pressure, what outcomes have been achieved in terms of institutional participation and market perception, and is another reverse split being considered?
Michael Mo: Well, since the reverse split that went into effect in June 2025, third-party data has indicated that the company has more than doubled its institutional ownership. And today, we can say definitively that there is no basis for considering another reverse split.
Stuart Smith: Alright, Michael. The next question is also for you. Several partnerships, government, military, aerospace, and corporate have been announced with limited follow-up. Can management provide detailed updates, expected and how these programs contribute to revenue and long-term enterprise value?
Michael Mo: Well, across government, aerospace, defense, and corporate accounts, we continue to make steady progress on the partnerships that we have previously announced. Many of these partners involve multistage qualification, certification, design, testing, and integration processes. And as you know, those cycles often span several quarters, and also, they are governed by confidentiality agreements that limit the level of program-specific details that we can publicly talk about. As we transition to a product-focused company, these engagements are important because they establish long-term technical and operational pathways for products to get inside of these critical platforms where reliability, safety, and performance matter the most. At the same time, as I talked about in my prepared remarks, it's important to highlight that the future growth engine of the company is now being driven by our KULR One Air product and also the entire KULR One platform, which is seeing significant broader and faster commercial adoption. As we enter 2026, we'll keep everybody up to date on the commercial efforts around our KULR One Max and AI BBU, and also telecom applications as well. These new platforms are expanding our addressable market into multibillion-dollar markets.
Stuart Smith: Alright. Shawn, previously KULR has issued investor letters. Mike has said he would try to communicate more with shareholders. Is this still a priority? And if so, how will you be doing it?
Shawn Canter: Sure. Well, as Mike just mentioned, due to the nature of many of our government, defense, and even commercial customers and the programs we work on, we're often limited in our ability to disclose contracts and progress until later milestones occur. With that said, as we've indicated before, we hear our shareholders and their desire for more communications. Early 2026, we will write an investor letter in addition to everything else that we do to communicate. Going forward, at least once a year in an investor letter, we'll share a more intimate account of what we're seeing and doing. We'll use it as a reflection on where we are and a window into what may lie ahead. In 2026, we're looking forward to our next open house at our headquarters in Texas. We're looking forward to attending more events where we can speak about our progress. We're looking forward to increased coverage from research analysts. I guess it's worth noting that, as everybody knows, the analysts independently make those decisions. We don't. And, of course, where we can publicly announce new contracts, customers, and programs, we certainly will.
Stuart Smith: Shawn, the next question's also for you. What concrete steps is management taking to stabilize the stock price?
Shawn Canter: Well, Stuart, our primary focus is squarely on accelerating revenue growth in our core energy storage and vibration markets. The investments we've made are showing real traction. As we've mentioned earlier, we are securing meaningful business in autonomous systems and expect additional wins ahead. As Mike mentioned, we're pushing into infrastructure with our market-leading energy storage and management solutions. We also are advancing KULR Vibe towards a scalable, globally marketable platform. It's probably worth noting, also that our Bitcoin treasury strategy has sort of touched on this question too. Both Mike and I have mentioned at the end of the third quarter, we held about $120 million worth of Bitcoin. We have intentionally taken a conservative approach to our Bitcoin holdings. We have no debt or other complex structures on our balance sheet, unlike others who have levered up their balance sheets to acquire Bitcoin and have experienced or perhaps still own the risk of leverage in volatile markets. As Mike mentioned, we believe in the long-term value of Bitcoin and its unique fixed supply and increasing demand characteristics. Individuals, institutions, and governments are buyers of Bitcoin. The regulatory environment has moved from a headwind to a tailwind. Increased domestic and international economic and political macro risk and resulting volatility on global currencies appear to further contribute to Bitcoin demand. Let me put some numbers associated with this just to understand the scale of the demand trend. And I asked AI for some help here. In 2011, there were an estimated 100,000 active Bitcoin addresses. In 2015, an estimated 6 million. In 2020, the estimated number of active addresses increased fivefold to 30 million, and an estimate for November 2025 indicates the number of active addresses to be approximately 60 million. That's a 58% compounded annual growth rate. It's not easy, and one doesn't find every day, or one can find something that grows 58% a year for fourteen years. So simply, fixed supply, strong growth demand trend, all else equal, we think this suggests over time the price of Bitcoin should rise and along with it, the value of our holdings. Historically, we acquired Bitcoin via the spot market, more recently via mining operations, and as Mike mentioned, one of the reasons for this is the strategic position for KULR to both acquire Bitcoin and get insight into the infrastructure energy solutions market. Overall, Stuart, over time, we believe our stock price should reflect the results of our strong operational execution.
Stuart Smith: Thank you for that, Shawn. And this really dove into that. Here is the next question, and I will direct it back towards you again, Shawn. Given so much that has happened at KULR in the last year or two, how is management viewing these changes in relationship to revenue growth and, ultimately, stock price appreciation?
Shawn Canter: Sure. Well, that's a great question. A lot certainly has changed over the last couple of years. I guess, again, it's worth stating again, our focus is on growing 2026. We believe that the market demand number and nature of customer engagements and the engagement sizes will show up in scaling durable revenue. From programs that took our batteries into outer space and to the bottom of the ocean, we're now applying those same technologies, insights, and learnings to higher volume programs related to autonomous vehicles covering air, land, and sea. Another example of change that took place over time is our decision to implement and then consolidate our facilities into just one location in Texas. As Mike mentioned earlier, we're already seeing demand signals indicating that we need more space to accommodate the customer engagements and growing programs that we see heading our way. Additionally, as we've already touched on, we're exploring how our products can be applied to even larger global infrastructure markets. Again, all of this to say, we see revenue materially growing in 2026. And as we talked about in the prior question, while we don't predict ours or anyone else's stock price, it would seem that it would stand to reason. KULR's stock price should follow as revenue grows and we gain further scale. Since we're talking about change, I guess I'll add one more observation even though we have touched on it already. Looking at our balance sheet and how it has evolved over the last two years. Today, we have no debt. We have over $100 million in liquid assets. We are seeing real traction across products and markets. We can and are investing in our real durable growth. Thanks, Stuart.
Stuart Smith: Thank you, Shawn. And Michael, we're gonna close out the Q&A portion with this final question directed towards you, and it is a long one. It's in regards to the KULR Intelligent Data System, which currently generates high-fidelity vibration and thermal telemetry at scale from active battery deployments. And it says it's a multipart question, actually. Will KULR in the future, one, tokenize the aggregated dataset on a public blockchain with verifiable provenance, and two, license access to leading AI labs for training foundation models specialized in battery physics, electrochemistry, and predictive safety? If so, what is the minimum data moat size in terabytes of raw sensor streams that KULR believes would be required to position the platform as the de facto Bloomberg terminal of battery physics? That's in quotes, that last part. And then he has this comment. Thank you again for your vision in building the data backbone of safe electrification. So, Michael, will you handle that one, please?
Michael Mo: Yeah. No. Thanks, Stuart. This is actually a really interesting question. Actually, it kind of relates to AGI, artificial general intelligence. It's something like that type of question. You can think about this question or answering this in three buckets. First is how much data you can get from individual models of battery cells and packs. Second is how many of these cells and packs do you have in operation to get the data moat size, terabyte data that this investor is referring to. And third is what you do with that data both as a primary and secondary application for these batteries. We can probably spend hours talking about this in general, but the first point is that some of these proprietary testing and categorization techniques that we have, such as FTRC, IgM, IFC trigger cells, and etcetera, we can get some of the most detailed and quantitative data on thermal runaway and safety behavior on both the battery cells and packs that we're interested in building for KULR battery packs. This will probably not include all the battery cells in the world, but just focus on the cells relevant to our applications and our customers. Then it's to get to scale by deploying as many packs as possible into the field and continuously monitor them. That's where I say the EV vendors will have a tremendous advantage because they have the largest scale deployments, and the EV BMS monitor all the cells. We can do similar with our KULR One battery platform. And that is actually becoming a business model question on, you know, do you sell the battery packs, or do you lease them out and charge for the use of the energy consumption through the batteries as a subscription service? So, I think the shareholder's question is actually leaning towards the second case. So if your business model is energy as a service, then you could have data on primary application usage and potentially second-life applications for these battery packs as well to maximize the lifetime value of these batteries. I actually really believe that energy as a service will be the business model for telecom, for AI data centers, and advanced electric mobility applications. They all have different requirements for the cell performance and lifespan of the batteries. So you can price something for each one of them as a primary application. And then you can eventually take possession of the battery and then apply second-life applications for another industry. And in that case, you can maximize the economic value of the battery packs and also minimize waste. In those applications, the Bloomberg terminal analogy for battery information and an AGI-like monitoring system, I believe, will be the killer app.
Stuart Smith: Well, Michael, thank you for that. I want to thank both Michael Mo, CEO of KULR Technology Group, as well as Shawn Canter, the CFO of KULR Technology Group. That concludes our call today. And with that, I'll hand the call back over to our operator. Thomas. Thomas, the call is yours.
Operator: Thank you. This does conclude today's webcast and conference call. You may disconnect at this time. Have a wonderful day. Thank you once again for your participation.